Operator: Greetings and welcome to the PublicSquare's Second Quarter 2024 Earnings Conference Call and Webcast. At this time all participants are in a listen-only mode. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, William Kent, VP of Investor Relations. Thank you, and you may begin.
William Kent : Thank you, Jeremy. Good morning, everyone, and welcome to PublicSquare's second quarter 2024 earnings conference call. Joining me today are Michael Seifert, Chairman and Chief Executive Officer, and Brad Searle, Chief Financial Officer of PublicSquare. The information discussed today is entirely qualified by Form 8-K and Form 10-K filed today by PublicSquare, which may be accessed on the SEC and PublicSquare's website. Today's call is also being webcast and a replay will be posted to PublicSquare's IR page. Please note that statements made during this call, including financial projections or other statements that are not historical in nature, may constitute forward-looking statements. Such statements are made based on PublicSquare's views and assumptions regarding future events and business performance at the time they're made, and we do not undertake any obligation to update these statements. Forward-looking statements are subject to risks that could cause PublicSquare's actual results to differ from its historical results and forecasts, including those outlined in PublicSquare's filings with the SEC, and you should refer to and carefully consider those for more information. The cautionary statement applies to all forward-looking statements made during this call do not place undue reliance on any forward-looking statements. During this call, we may refer to certain non-GAAP financial measures. These non-GAAP measures are not prepared in accordance with generally accepted county principles. A reconciliation of the non-GAAP financial measures to the most directly comparable GAAP measures is available in the company's quarterly filing today with the SEC. I will now hand the call over to Michael Seifert. Michael, please go ahead.
Michael Seifert : Wonderful. Thank you, Will. And welcome, everybody, to our second quarter 2024 earnings call. As we celebrate the completion of our first full year as a public company, I'm going to take a bit of a different approach and depart from our normal setup from our past calls and utilize the majority of our time here today to cast a long-term vision of PublicSquare and detail where we plan on taking the business over the next 24 months and beyond. While we won't have a formal question-and-answer session at the conclusion of today's call, we have received a number of great questions from shareholders submitted through the Safe Technologies platform that I will be sure to answer throughout my comments today. But to get started, I do want to spend a minute and share a few material updates from Q2 related to the financial performance of our business. Number one, our net revenue in the second quarter increased 1,030%, and cash flow operating expenses only rose 49% compared to the second quarter of 2023. So, again, the second quarter of 2024, our revenue increased 1,030%, while cash flow operating expenses only rose 49% compared to the same period of last year. We increased net revenue, which is net of returns and discounts, by 73% quarter-over-quarter to $6 million compared to $3.5 million in the first quarter. So, again, Q1 of this year, we generated $3.5 million in revenue, and Q2 of this year, we generated $6 million. Our gross margin across the increased to 67% in the second quarter of 2024 compared to 43% in the first quarter of 2024. Our second quarter results ultimately show that we are on a solid path toward profitability, with our revenue growth far outpacing the growth of our expenses. That's exactly what we want to see. But the greatest success of the last quarter, in my strong opinion, is the foundation we have set for the future of our marketplace and payments ecosystem. And I'm looking forward to telling you more about that here today. Three years ago, as a little backstory, our business consisted of an idea, a few lines of code, and seven employees in a one-room garage office. Everybody likes to say they started in a garage. We actually started in a garage. Three years ago, we had a roadmap filled with promise, but we didn't even have a product live yet. We had a simple mission that remains as true today as it was then. We knew there were millions of Americans out there just like us that were desperately looking for economic solutions that would embrace excellence, meritocracy, and family values. They wanted a marketplace that wouldn't cancel you if you held more conservative views or deem the big box stores essential while suppressing the rights of small business owners and sacrificing the sacred treasure of the American main street. Put simply, we set out to connect a market of unaddressed consumers and businesses and an economic ecosystem that values the principles that have made the United States the greatest country to ever exist, most notably life, liberty, faith, family. We knew our vision could only be accomplished through determined and best execution. We put our heads down, got to work, and the growth we've experienced in the last three years has exceeded all expectations. We generated $7,000 in revenue in 2021. $7,000. $475,000 in 2022. $5.7 million in 2023, and in the last quarter alone generated $6 million. 2021 was $7,000, 2022 was $475,000, 2023 was $5.7 million, and last quarter alone, the second quarter of this year, we generated $6 million. I think it's safe to say that we've executed. And yet we as a team hold the firm belief that we have barely scratched the surface of our business's potential. We are in the first inning, and we have the long game in mind. We started with the creation of the marketplace because we knew that core to any economic ecosystem had to exist an exchange, a digital environment where we could facilitate high-trust transactions between consumers and business merchants. We launched our marketplace nationwide July 4, 2022. It was a glorious Independence Day, and in the last two years, we've helped millions of Americans find small businesses with impactful stories to tell and high-quality products to sell. In fact, one of the most common testimonials we receive from our customers is that they come to PublicSquare, they come to EveryLife for the values, but they stay for the quality of the products. It's a real differentiator for us, and it's a real honor to connect these business owners with consumers that are driven to support them in that way, as we believe that small businesses are the backbone of our economy. As our marketplace began to experience hyper growth, we learned quite a lot from both our consumers and our merchants. We learned what products they were looking for, where their pain points were, and what solutions they were hoping would eventually be created. With that data and proprietary insights, we created EveryLife, the only pro-life and pro-family baby brand and the fastest-growing diaper brand in America. We've partnered with hundreds of churches and pregnancy centers, donated over 1.5 million diapers with the help of our consumers through our Buy for a Cause program, and we generated over $7.5 million of sales in the first 12 months with our direct-to-consumer brand, all with less than 10 team members. We expect this to be the first of many premium and high-performing brands that we bring to market as solutions to the needs our customers have clearly articulated to us. We knew the market was there. We knew we'd have the right team to create a quality product, to execute on the opportunity, and thankfully, it's proven fruitful. Now it's time to do it again. We also learned from the merchants on our platform that they were hungering for business services, especially related to their checkout technology and payments processing, that would drive conversion and allow them to thrive without fear of cancellation. We can't tell you how many stories we've heard of businesses that are growing, that are providing great quality products, that are turned off by their payments processors simply because they sell firearms, they exercise their first or second amendment, they're involved in a religious organization. This creates an opportunity for us because these are our people. This need that was clearly highlighted led us to engage in conversations with the excellence-driven team over at Credova. Credova been a juggernaut in the financial technology space that has specifically focused their efforts on supporting the gun industry, so obviously we love them. And we felt confident that inviting Credova into our company through acquisition would prove incredibly beneficial as the Credova technology and team members could serve as the foundation of the payments business we wanted to build out underneath the PublicSquare brand. And now, five months post-acquisition, I cannot tell you how much confidence I feel in that decision. Over the last quarter, we've set a firm foundation for our business that we believe will prove fruitful for the years to come. So, now for a bit more on what that looks like practically. In light of the enhanced focus on our FinTech staff and the clear synergies that are materializing between the marketplace and financial technology, we have made the exciting decision to actually sunset the brand name Credova over the coming months and consolidate our branding, marketing, and our various product features all under the name PublicSquare. The PublicSquare marketplace will continue to focus our offerings to a family values oriented patriotic audience, targeting our core consumers with a better shopping experience through initiatives like a branded digital wallet, user rewards, financing options like pay-in-for at checkout, and free shipping, all while expanding our PublicSquare B2B and B2C staff offerings to our 80,000 plus merchants through payment processing credits and advertising services. These initiatives, along with reallocating and consolidating resources associated with these initiatives, are expected to result in cost savings for our overall business, a streamlined message, and more effective customer and merchant acquisition and onboarding. This morning, we announced a $10 million convertible note investment that closed from a board member and his affiliates at the same terms as our convertible notes from this past March. This will supercharge the launch of our payment stack in order to serve our tens of thousands of merchants with best-in-class technology, competitive rates, and a cancel-proof promise. We believe with the launch of our payment stack this month, August of 2024, with over $200 million in annualized GMV in payments processing volume already under contract and currently integrating, and with a line of sight to $1 billion of annualized GMV by the beginning of the 2024 Christmas shopping season. Our vision for the marketplace and payments ecosystem is materializing and ready for scale. Finally, I do want to address the performance of our stock. While it has been an incredible year for our company in terms of growth and performance, it has been an objectively tough year for the stock. And simply put, we do not believe the current price of our stock is in any way, shape, or form accurately reflective of our business. We actually believe the market supports this belief as well. For example, if you use our trailing 12 months of revenue, if you look at our last 12 months of revenue, we are currently trading around 6 times trailing 12-month sales. But if you look at comparable hyper-growth companies and similar industries in the market, they are trading at 8 to 9 times forward-year sales. So we are trading at about six times past 12 months, our industry comps are trading at 8 to 9 times forward-year comps. We can speculate as to where this disconnect is, but at the end of the day, we believe the market hasn't fully realized what we built or where we're going in the near, medium, and long-term. And we don't believe, with how fast our revenue is growing, that valuing our company based upon the trailing 12 months is appropriate. What we do hope investors know, though, is that our team, our management, and our board of directors are fully bought in and committed to continue executing with the long game in mind. We're putting action behind our words as well, as just this morning, people like myself, our CFO Brad Searle, investor and Advisor Donald Trump Jr. have elected, of our own volition, to lock up our shares for another 12 months. We're patient, and we believe the stock will eventually reflect the fundamentals of our business. And we believe firmly that the fundamentals of our business are strong. Until then, we'll keep building. We're more confident than we've ever been. And if you're already an investor of ours, we thank you for believing in our company and in our mission. And if you're not yet an investor, we invite you to join us on this journey. We are just getting started. I'm very grateful for everyone that attended this conference call today. It is an absolute pleasure and honor to speak with you. I hope you have a fantastic rest of your week. And that marks the conclusion of this call. We will talk to you soon.
Operator: Thank you. That does conclude today's conference. Have a pleasant day.
Q - :